Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Deluxe Quarterly Earnings Conference Call. [Operator Instructions] At this time, I would like to turn the conference over to your host, Vice President of Strategy and Investor Relations, Brian Anderson. Please go ahead.
Brian Anderson: Thank you, operator, and welcome to the Deluxe Second Quarter 2025 Earnings Call. Joining me on today's call are Barry McCarthy, our President and Chief Executive Officer; and Chip Zint, our Chief Financial Officer. At the end of today's prepared remarks, we will take questions. Before we begin and as seen on the current slide, I'd like to remind everyone that comments made today regarding management's intentions, projections, financial estimates and expectations about the company's future strategy or performance are forward-looking in nature as defined in the Private Securities Litigation Reform Act of 1995. Additional information about factors that may cause actual results to differ from projections is set forth in the press release we furnished today in our Form 10-K for the year ended December 31, 2024, and in other SEC company filings. On the call today, we will discuss non-GAAP financial measures, including comparable adjusted revenue, adjusted and comparable adjusted EBITDA and EBITDA margin, adjusted and comparable adjusted EPS and free cash flow. All comparable adjusted metrics reflect the removal of impacts from business exits. In our press release, today's presentation and our filings with the SEC, you'll find additional disclosures regarding the non-GAAP measures, including reconciliation of these measures to the most comparable measures under U.S. GAAP. Within the materials, we are also providing reconciliations of GAAP EPS to adjusted EPS, which may assist with your modeling. And with that, I'll hand it over to Barry.
Barry C. McCarthy: Thanks, Brian, and good evening, everyone. Our second quarter was highlighted by strong results across each of our core profitability metrics including a tenth consecutive quarter of year-over-year comparable adjusted EBITDA growth. I'll begin my comments tonight by acknowledging our top line of $521 million was down 2.5% from the second quarter of last year, softer than our expectations, but fully attributable to the low-margin promotional portion of print, which I will detail in a moment. Importantly, each of our other businesses performed as expected, and we generated strong results across all other financial metrics. For the quarter, we grew year-over-year comparable adjusted EBITDA over 4.5% to $106 million. We expanded margin rate by 140 basis points to just above 20%. Comparable adjusted EPS increased 3.5% to $0.88. Year-to-date free cash flow expanded by 200% or more than $34 million versus the first half of 2024. We improved our leverage ratio to 3.5x and remain on path to be below 3x next year. And we're affirming our overall full year revenue and earnings guidance and increasing our free cash flow guidance. Now moving on to some operating segment highlights. The Data Solutions segment continued to be the standout delivering more than 18% second quarter revenue expansion. Observers of the most recent cycle of bank earnings results may have noted successful demand deposit generation campaigns as an important earnings driver. We're proud that our data segment had a role in many of those successes across our FI partners. Merchant Services growth expanded sequentially to just under 3% despite lingering macroeconomic uncertainty impacting the broader domestic spending environment. B2B payments delivered expected low single-digit growth, consistent with our prior guidance. We're pleased with our margin expansion of more than 200 basis points and have a number of customer wins and implementation across the business. The stronger margin check portion of our Print segment performed in line with our long-term expectations declining about 3%, helping the segment to hold on to its healthy margin rate. The low-margin branded promo portion of the Print segment is where revenues were challenged during the quarter. In addition to the first quarter deal timing and industry demand headwinds, we signaled last quarter, second quarter results were impacted by nonrenewal of a few large onetime orders requiring unattractive margin levels. As we've discussed previously, our strategy is to avoid sourced promo deals with unattractive margins, even at the expense of revenue. Importantly, as would be expected under such a strategy, resulting revenue headwinds during the quarter had nominal impact on the segment's profitability. Overall, we maintained our strong print segment margins at 32%. As we discussed at each call, we see this margin rate and the predictable cash flows from print, especially the legacy check business, continuing for the foreseeable future. We would not expect the second quarter rates of decline within branded promo to recur over the balance of the year. Finally, on our overall outlook, as I mentioned earlier, we're pleased to affirm our revenue and earnings guidance and increase our full year expectations for free cash flow. Chip will have more on all of this in a moment. At the midpoint of the year, our revenue ratio remains modestly weighted toward print at 54% to 46%. For additional perspective, payments and data together already deliver significantly more revenue than the legacy check portion of print alone. On a year-to-date basis, our combined payments and data segments have expanded year-over-year by a blended rate of just under 7.5%, consistent with our strategy and as shown on the current slide. Finally, I'd like to discuss 2 additional topics relating to our payments progress in particular. 1, the small acquisition we have announced and 2, partnership development across our 2 payment segments. First, for some context around the announced acquisition, our existing platform, the Deluxe Payment Network, or DPN, digitally connects physical lockboxes. This interlock box payment network saves cost by eliminating postage envelopes, labor handling and check costs for payers, including large bill pay services across the FI landscape. For payees, there's virtually no change because the payments through the DPN follow the well-established lockbox payment protocol, but now digitally. Consistent with our capital allocation priorities, the Check Match product will bolt-on to our existing DPN platform, expanding our scale and creating both revenue and cost synergy opportunities. Deluxe is the obvious neutral third party to create and manage an expanded digital network. And we're already in the process of enabling DPN across more than 5,000 eligible Deluxe locks boxes. With this acquisition, JPMorgan lock boxes and those of several large FIs already members of Check Match will be added to the DPN network. As a trusted partner to our FI clients, Deluxe is positioned to scale the network more effectively than any individual bank or a group of banks. We do not expect this acquisition to have a material impact to our 2025 B2B segment results, but do expect to see positive impact as it scales across 2026 and beyond. We would expect to see a couple of points of growth for the B2B segment, when fully scaled, and we will provide periodic updates moving forward. Next, I'll highlight the progress our payments businesses are making and building partnerships with software vendors and other technology providers. You saw us announce a few of these partnerships during the recent quarter. These alliances are strategically important because our solutions get embedded in these partners' offerings, so we grow when the partner grows. Customers acquired via our partners generally have higher attention and their volumes tend to be solid. Recently completed merchant partnerships with ISVs, such as Chargent an embedded CRM automation solution support our go-to-market growth plans. Partnering with fundraising platforms such as schoolauction.net and childcare center operational solutions, such as, my kid reports, will continue to further enable our growth outlook. Across B2B payments, similar alliances with technology and platform partners such as Square 9, Banco and AccuTitle provide platform and vertical expansion opportunities spanning the attractive treasury automation and SaaS growth markets. To summarize, our overall second quarter and year-to-date results illustrate our ongoing operating leverage and execution focus. Importantly, our results highlight our ongoing shift towards the growing payments and data markets. While some general macroeconomic uncertainty remains, our first half progress enables us to affirm our 2025 core guidance and our strong execution allows us to raise the free cash flow outlook. Finally, before passing this to Chip, I want to acknowledge the company has reached its 110th anniversary. Since 1915, Deluxe has delivered for our customers, shareholders and communities because of the incredible dedication and commitment of Deluxers. Our people make the difference. Over the last few years, we've made great progress transforming a paper payments company into a powerful digital payments and data company, and the best is yet to come. With that, I'll turn it over to Chip.
William C. Zint: Thank you, Barry, and good evening, everyone. As Barry noted in his opening, we were pleased with our second quarter progress and particularly our very strong year-to-date free cash flow expansion and continued year-over-year comparable adjusted EBITDA and EPS growth during the period. As in prior quarters, I'll begin today with a bit of additional color around our consolidated highlights for the period. Before moving on to the segment results, our balance sheet and cash flow progress and our full year 2025 guidance ranges. For the quarter, we reported total revenue of $521.3 million decreasing 3.1% against prior year reported results, while lower by 2.5% on a comparable adjusted basis. We reported GAAP net income of $22.4 million or $0.50 per share for the period, improving from $20.5 million or $0.46 per share in the second quarter of 2024. This increase was driven by improved operating results including both lower SG&A and restructuring-related expense, offsetting the non-repeating gain on sale from business exits reported in the prior year period. Comparable adjusted EBITDA was $106.5 million, up 4.6% versus the second quarter of last year. Comparable adjusted EBITDA margins were 20.4% improving 140 basis points versus the second quarter of 2024, as Barry noted. Q2 comparable adjusted EPS of $0.88 improved from $0.85 in 2024, primarily driven by the operating income drivers previously noted. Now turning to our operating segment details, beginning with the Merchant Services business. The merchant business grew second quarter revenue by 2.9% year-over-year to $101.4 million, accelerating from the 1.3% first quarter growth on new merchant and channel partner additions and planned pricing actions, net of attrition and some ongoing macro uncertainty across the domestic economic environment. Segment adjusted EBITDA finished at $21.7 million, improving $2.5 million or 13% versus the prior year, with margins expanding 190 basis points to finish at 21.4% driven by the revenue factors noted and ongoing cost efficiencies. As we noted during prior quarters, persistent macroeconomic uncertainty remains in the broader U.S. environment. leading us to continue to expect revenue growth for merchant to remain closer to a lower single-digit full year trajectory. Macro or discretionary spending tailwinds from a potential accelerating economic turnaround could provide upside versus this outlook. And we continue to anticipate a low 20% adjusted EBITDA margin profile consistent with our initial guidance. Moving to B2B payments. For the second quarter, B2B segment revenues finished at $71 million, sequentially improving from the first quarter as well as the prior year quarter by 1.1%, consistent with our in-year cadence expectations and prior guidance. B2B adjusted EBITDA finished Q2 at $15.6 million, expanding 11.4% versus the prior year period. As Barry noted, Q2 adjusted EBITDA margins of 22% for B2B resulted in overall 210 basis point improvement versus 2024. We sustained our focus on driving efficiencies across lockbox operations and have optimized segment SG&A to more closely align to the expected pipeline phasing and related onboarding initiatives for new business wins. Within our full year B2B outlook, we expect a low single-digit revenue growth rate. While third quarter revenues are expected to improve sequentially, results will likely moderate from the prior year period due to onboarding timing of certain deals. We expect a solid fourth quarter exit growth rate for this business as we enter 2026, while margins are expected to remain in the low to mid-20% range. Moving on to Data Solutions. This segment continued its strong performance, extending the robust growth trajectory seen over the preceding 2 quarters. Q2 revenues finished at $67.8 million, achieving overall growth of 18.1% versus the second quarter of 2024. As Barry referenced during his highlights for the period, this growth included continued strong performance across core FI customer campaigns. The segment has also continued to expand across non-FI verticals. Adjusted EBITDA finished at $20.4 million growing 29.1% versus Q2 of the prior year, while adjusted EBITDA margins expanded 260 basis points to 30.1%. These results reflect a continued favorable mix of DDM campaign activity, the strong overall revenue growth rate and continued realization of operating efficiencies across the business. The continued strong performance of this segment reinforces our updated full year outlook toward the low double-digit segment growth expectations shared last quarter. We would note that the fourth quarter prior year comparison will be most challenging given the robust growth we realized during Q4. As such, we would not presently forecast year-over-year revenue growth and may see declines during the fourth quarter, specifically, while maintaining our overall strong full year growth expectation. Turning now to our print businesses. Print segment's second quarter revenue was $281.1 million, reflecting an overall decline of 9% on a year-over-year basis. As Barry discussed briefly in his comments, it's important to further dissect the print segment decline rate in order to better link our underlying core business trajectory and corresponding print EBITDA results in particular. As shown on the current slide, and as included in each of our quarterly filings with the SEC, a further breakdown of revenues by product category shows that our 2 core print focus areas declined more modestly during the period. Legacy Check saw second quarter declines of 3.2%, while forms and other business products declined 7.2% during the quarter. On a combined basis, these blend to an overall 4.2% rate of year-over-year decline, largely in line with our low to mid-single decline guidance for the segment. Effectively, all of the incremental print decline rate beyond these levels was driven via the 25.1% decline rate within the other promotional solutions product category, which carries a lower margin profile. The overall modest 3.7% rate of year-over-year adjusted EBITDA decline seen within print for the quarter aligns to the blended rate of decline for the more core print focus areas. Overall, print adjusted EBITDA for the quarter finished at $90.4 million, declining by 3.7% year-over-year as noted. Importantly, this resulted in an overall margin rate of 32.2% of revenue, remaining solidly in line with our longer-term low-30s target for the segment and 180 basis points improved from the prior year rate. In addition to being reflective of overall segment mix shifting towards stronger margin offerings, we continue to remain focused on operating expense discipline and overall efficiency across cost of goods sold inputs within the Print segment. These efforts helped to preserve our year-to-date achieved low-30s margin profile. Consistent with our prior quarter commentary, while we did not expect decline rates for noncore promotional solutions revenues to recur at the level seen during the isolated second quarter period. There remains an expectation that these offerings will likely decline at rates above that of the more core product groupings, including checks. On balance, we would continue to expect to realize mid-single-digit or better revenue declines across the overall Print segment for the full year with adjusted EBITDA margins remaining in the low-30s, consistent with our prior rate outlook. Turning now to our balance sheet and cash flow. We ended the second quarter with a net debt level of $1.44 billion representing a reduction of just over $24 million versus our 24 year-end levels of $1.47 billion. This result was more materially improved from the $1.53 billion mark at the end of Q2 of last year, consistent with our ongoing commitment to debt reduction as a top capital allocation priority. Our net debt to adjusted EBITDA ratio finished at 3.5x at the end of the quarter improving from the 3.6x ratio reported at both year- end and within our full first quarter results. As mentioned on our last call, we anticipate sequential improvement over the balance of the year and expect to end 2025 at roughly 3.3x leverage. Our long-term strategic target remains 3x leverage or better by the end of 2026. The announced acquisition is not expected to adversely impact our path to these target leverage metrics. Free cash flow, defined as cash provided by operating activities less capital expenditures finished at $52.1 million for the year-to-date period. This was an improvement of $34.5 million from the results reported through the first half of 2024. This year-to-date improvement was driven by continued strong operating results, including significantly lower restructuring spend and lower year-over-year cash incentive payments. As Barry noted, we remain very pleased with our overall operating cash flow generation during recent quarters and in our ability to continue our delevering path consistent with our clear capital allocation priorities. We continue to be positioned well from both a liquidity and go-forward capital structure perspective following our December refinancing activity. As of the end of the second quarter, we maintained just over $390 million of available revolver capacity with no material near-term maturities. We remain on track towards our overall leverage ratio target of 3x or better by the end of 2026. Before turning to guidance, consistent with prior quarters, our Board approved a regular quarterly dividend of $0.30 per share on all outstanding shares. The dividend will be payable on September 2, 2025, to all shareholders of record as a market closing on August 18, 2025. As Barry noted within his opening commentary, we are maintaining our full year guidance for revenue and profit metrics, while raising our expectation for free cash flow. We also acknowledge the continuing overall levels of near-term uncertainty within the economic environment, presenting challenges towards providing further precision and narrowing of the outlook for the balance of the year. We remain very focused on the operating levers within our control, ensuring continued strong execution across our free cash flow, EBITDA and balance sheet optimization goals. Our full year guidance figures are shown on the current slide, keeping in mind all figures are approximate. Revenue of $2.09 billion to $2.155 billion which, as a reminder, represents a range of negative 1% to positive 2% growth on a comparable adjusted basis. Adjusted EBITDA of $415 million to $435 million reflecting between 2% and 7% comparable adjusted growth. Adjusted EPS of $3.25 to $3.55, a range of flat to 9% comparable adjusted growth and increased free cash flow of $130 million to $150 million. Finally, to further assist in your modeling, our guidance assumes the following: interest expense of $122.5 million, an adjusted tax rate of 26%; depreciation and amortization of $135 million, of which acquisition amortization is approximately $45 million, an average outstanding share count of 45.5 million shares and capital expenditures of $90 million to $100 million. This guidance remains subject to, among other things, prevailing macroeconomic conditions as noted previously, including interest rates, labor supply issues, inflation and the impact of divestitures. In summary, we remain pleased with our continued execution during the second quarter and our overall first half year-to-date results. Our ability to demonstrate sustaining year-over-year growth of adjusted EBITDA, EPS and particularly, free cash flow, despite areas of anticipated top line pressure during the quarter are a testament to our continued focus on both execution and our clear long-term capital allocation priorities. We remain confident that this diligent focus against core deliverables will continue to be reflected within our ongoing back half performance and look forward to providing additional updates as the year progresses. Operator, we are now ready to take questions.
Operator: [Operator Instructions] And we will take our first question from Kartik Mehta with Northcoast Research.
Kartik Mehta: Barry, there was a nice turnaround in the merchant business on the margin front. And I'm wondering maybe if you could expand on what you've been able to do to drive the efficiency in business and have year-over-year margins increase by such a decent amount?
Barry C. McCarthy: Thanks for that, Kartik. We're very focused in that business, like all of our businesses on operating efficiency and in the merchant business, we've also been working on price and selling into new market spaces and winning new business. And I think it's a combination of all of those things that has helped us expand our margin as well as pick up the pace on revenue growth. And you also saw that we announced some new partnerships with software vendors that we think, over time, will help us accelerate the growth further.
Kartik Mehta: And then I know Barry Brian Mahoney took over the merchant business. And obviously, he has some interesting ideas to make the business better. I'm wondering. If he's been able to implement any of those ideas yet? Or is he still in the data collection mode and it will be a little bit of time before he is able to implement some of the thoughts and ideas that he has for the business.
Barry C. McCarthy: Kartik, Brian is off to a really great start. It's obvious that he knows the business inside and not having really grown up inside of a much larger merchant acquirer and is bringing some of that knowledge to bear immediately. And we are seeing some of the fruits of that. You've seen us announce partnerships. We're expanding and investing more in our sales and go-to-market efforts. And you can see it a bit in the business performance already. So I think while it's still early, he's only been here a few months, I think we're off to a really great start, and we're starting to see some very, very early fruit from his efforts and where we're headed. I think it's pretty clear.
Kartik Mehta: Yes. And then just 1 last question, Chip. Nice increase on the free cash flow. What are the key drivers? Is it -- is there anything outside of just greater confidence in the business? Or are there specific drivers that you would point to as the reason for the improvement in the free cash flow guidance?
William C. Zint: Thank you, Kartik, for pointing that out. we're very pleased with the execution and progress we've had, not only year-to-date, but over the last 6 quarters or so in this space.
Lance William Vitanza: We knew coming into this year with good execution. We have the opportunity to raise this over time. And so I think what you're seeing is that confidence showing through good execution in the first half improves our confidence for the full year. So really, it's just that. It's where we are in the year and feeling good about what's behind us and what's ahead. I would say it's a combination of the improved profitability that you've seen in the business, along with bringing down the restructuring spend, which we talked about last year. The expectation is we will reduce that cash restructuring spend in half this year. And so that is helping give us good execution, continue to work hard on working capital efficiency and all of it comes together with higher confidence in that full year number.
Operator: Our next question comes from Charlie Strauzer with CJS.
Charles S. Strauzer: Just a quick question, if we could, on the data side on kind of continued impressive growth there. Maybe help us unpack a little bit more there, some color brand what continues to drive the growth in that segment?
Barry C. McCarthy: So I'll start, and Chip can jump in here, too. But we're really pleased and proud of that. And in my prepared comments talked about 1 of the areas where we continue to have success, which is with financial institutions and helping them target and grow their low-cost deposits. And it's an area where every bank has a need today, and I think it goes to show that the investments we've made into our database, which is now fully hosted in the cloud, we believe we have the largest consumer and small business marketing database out there that we can apply to help banks, in this case, our FIs grow deposits. But it's not just Charlie in the FI channel. We're also expanding as we've been talking for some time into other market verticals, where we're also starting to see even more success winning business there to help those businesses grow their business. We really do think we have something very unique to offer in the data-driven marketing business, and you can see it in our performance because 1 of the things that makes it very unique is at a time like this when people are particularly concerned about investing in marketing dollars, we can actually show them the return and they can track and measure their return unlike other types of marketing. This has a direct impact to the bottom line. It's trackable, and we can show the customer the return they're getting from working with us.
Charles S. Strauzer: That's great. Looking at the Check Match acquisition made today, from a technology standpoint, what did it bring to you that you didn't have before? And maybe is it something kind of CapEx maybe you had to build something like this to gain traction in share? Or is it just something that kind of...
Barry C. McCarthy: Sure. Charlie, just to make sure you and everybody else understands what Check Match is. It is a similar platform to our platform called the Deluxe Payment Network. And in that network, we are digitally connecting all of the lockboxes where we're processing today. And now with Check Match, we're adding the Check Match connected lockboxes to create a network of lockboxes. So if we know that a payer has a number of bills that they want to pay, and we know the lockbox location for where those are going to be sent rather than printing those -- those bill payments and putting a check in an envelope with a stamp and putting in the postal service to deliver it physically to a lockbox, we can cut out that entire process and now a distributor deliver that same payment digitally to an existing lockbox. So completely consistent with what we've been saying we would do in our payments and data businesses, we would look for opportunities where we could generate scale in businesses we're already in and this fits exactly with that position, which is the CheckMatch business is a -- is going to be bolted into our existing DPN network, so the network becomes larger, giving us more places, where we can distribute digital payments instead of having to mail a check. And that gives us a great growth opportunity and a great cost savings opportunity for the payers, improves cash flow for all the participants and really gives us a great product to go to the market and lead with as we build the rest of our B2B business.
Operator: [Operator Instructions] Your next question comes from Marc Riddick with Sidoti.
Marc Frye Riddick: So I think a lot of my questions have sort of already been covered but I was sort of curious as to maybe you can talk a little bit about the pacings through the quarter in the business and if there were any particular read-throughs that kind of tied to the general macro headlines that you noticed or any particular gyrations during the quarter that stand out a bit?
Barry C. McCarthy: I appreciate the question, Marc. I don't think that we saw anything that was particularly extreme during the quarter. What we saw was sort of more of the same, some generalized consumer hesitancy and maybe some unusual spending patterns between discretionary versus more or less discretionary versus more discretionary categories. But it feels like it perhaps it moderated a bit versus what we've seen in previous periods. But I don't have any big headline for you that we're seeing something extraordinary in the marketplace. We're just seeing sort of a continuation of generalized consumer stress.
William C. Zint: Yes. And Marc, I guess I would add, as we entered into the quarter, and we executed, we had really good forecast accuracy and performance almost across the entire business. We went a bit long in the prepared remarks talking about that other promo portion, but that truly was the area that was softer. We've talked about that for a few quarters now, the discretionary demand nature of it, the fact that we wouldn't go take low-margin deals just for the sake of revenue. And so really, if you step back, what Barry said is 100% right. But the accuracy, the estimates we had coming into the quarter, it played out extremely well across B2B merchant data and check. So we had a pretty good handle on the direction of the business. I feel like we feel good about that now with the time still to go. The promo side did shock us a bit. You're talking a few million, not the end of the world. And obviously, the profitability of it was not a concern, and we expanded margin nicely.
Marc Frye Riddick: Okay. Great. And then the announcement with the Check Match announcement, I was sort of curious as to maybe where you level of the opportunity for other similar opportunities out there, whether there's sort of a pipeline that you're looking at that we might see be executed on other similar acquisition opportunities or partnerships that -- are there maybe more now than there were, say, beginning of the year? Or how are you feeling about that type of pipeline of what you're seeing out there currently?
Barry C. McCarthy: I appreciate the question. I think you've seen us be incredibly disciplined on our capital allocation and making sure that we get great returns for any dollars we're putting to work. And with our Chief focus there of reducing debt and our leverage level. So are there other things out there eventually perhaps we are going to be very opportunistic. We like the businesses we're in. We don't feel like we need to go race to the market to spend money. But we found this a really great opportunity entirely consistent with our strategy, it was entirely consistent with what we said we were going to do, which is about bolting on additional volume and capacity to grow existing businesses faster. And so, if those kind of things come along for us, we'll certainly take a look at them and be as disciplined as we are now around discipline around capital allocation and investing investor's money to the maximum return.
Operator: [Operator Instructions] Your next question comes from Jonnathan Navarrete with TD Cowen.
Jonnathan A. Navarrete: I just want to double-click on Check Match. Can you guys talk about the cross-selling potential there?
Barry C. McCarthy: Sure. So the nature of creating a network, Jonathan, is the more endpoints that you have and more participants that you have in the network, the greater the value. So to begin with, our existing networks, the Deluxe payment network, we're in the process of implementing across all the lock boxes that we service today, and we've got a significant portion of them already enabled. You add into that the JPMorgan or the check Match lock boxes that include a couple of significant sized and scaled banks. You suddenly start having a significant network that allows you to move payments in a digital way, reducing some of that paper. But we also think it's a really important sort of step on our journey to become an even larger player in the digital B2B payment space. By building the network, having an understanding of where all the endpoints are for payers, we think it brings additional opportunities for us. And ultimately, we think it will be a nice addition to what we're doing on the receivables side of the business as well with our Receivables 360 product, being able ultimately to help treasurers manage payments and receivables going forward in a really digital streamlined, low friction way, everything that creates a nice market opportunity for us.
Jonnathan A. Navarrete: Got it. And just the last 1 is on Data Solutions. Great performance there. And just wondering how much of the revenue growth was tied to existing clients, expanding campaigns versus new client wins?
Barry C. McCarthy: Jonathan, I don't know that I can -- that I have that at my fingertips. I don't know that we've disclosed that before. I guess the most relevant point is that we continue to add non-FI clients, while we continue to get more business from existing FI clients. Chip, you want to add on that?
William C. Zint: Yes. I agree with Barry. What I would say, Jonathan, is the strategy there is to continue to expand share of wallet with existing clients, get new logos, move into new verticals, expand the amount of revenue that comes from the core side and then deliver more growth verticals in the channels that we targeted as part of Investor Day. If you think about the last couple of quarters, we've been signaling this trajectory of data growing at roughly absolute dollars rolling 2 to 3 quarter average. And I think when you look back and you see that, that's been very consistent and has delivered the growth we have. So I know it can be a harder business to plan. So maybe perhaps I'll give you a little bit of insight there. I still believe we anticipate another strong quarter here in Q3 from data. So I think it's a very similar guidance, take the rolling 3 quarter average, got to blend in that really strong fourth quarter of last year with the seasonality of the fourth quarter last year. And I think that really will pivot that it's a business that's going to continue its momentum here in the third quarter. Keep in mind, in the prepared remarks, I mentioned we're expecting growth in low double digits for the full year. And I did acknowledge that, that may mean it may decline in the fourth quarter. Again, there's some seasonality there. We're coming up against some tough comps. It's campaign-oriented. That's not a trend that we would expect to continue. It's just inherent in the business. but very, very pleased overall with the business. So I think in terms of overall modeling, I think that's the story there for data. I think we're pretty clear across the other segments with B2B, I mentioned seeing sequential improvement from the third quarter versus the second in absolute dollars. So the size of the business getting bigger sequentially quarter-over-quarter. That may mean it may moderate from the prior year period as some deals need to get onboarded and implement. But again, heading our way to a nice fourth quarter exit rate and nice low single-digit growth for the year. Merchant, no real change what we've been telling you all year long. We said it would be low single-digit growth to start the year, expanding as the year goes on. We told you lower single-digit full year expectations. So I think that business stays on its trajectory. And I do want to just reiterate, we're not anticipating the print side of the business to have the degree of declines you saw in the second quarter especially not from that promo piece, we would expect to see the full year decline rate for print to be in that mid- single-digit level or better with the third and fourth quarter both being kind of back to those normalized levels. So I think when you put it all in a nutshell, as I said in the prepared remarks, we think it's prudent to keep our guidance ranges where they are because with all of the uncertainty in the time left of the year, there's no way to get more precise. We think the overall top line is going to be just south of the midpoint when you put it all together with profitability being right there towards the midpoint or higher and obviously growing the free cash flow is a great result. So we think we're executing well across the board and pleased to affirm all those metrics here tonight.
Operator: This does conclude today's question-and-answer session. I would now like to turn the call back to Brian Anderson for additional or closing remarks.
Brian Anderson: Thanks, Rachel. Before we conclude, I'd like to share that management will be participating virtually at the Oppenheimer 28th Annual Technology Internet and Communications Conference on August 13 and at the Sidoti Small Cap Conference on September 17 during the quarter for which additional information will be posted to our Investor Relations website. Thank you again for joining us today, and we look forward to speaking with you all again in November as we share our third quarter results.
Operator: This does conclude today's call. Thank you for your participation. You may now disconnect.